Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Ducommun Earnings Conference Call. My name is Darcelle, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Chris Witty. Please proceed, sir.
Chris Witty: Thank you, and welcome to Ducommun's fourth quarter conference call. With me today is Tony Reardon, Chairman, President and CEO; and Joe Bellino, Vice President and CFO. I would now like to provide a brief Safe Harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements, other than statements of historical facts, included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call and in the company's annual report and Form 10-K for the fiscal year ended December 31, 2012. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, after the date of this conference call. I'd like to turn it over now to Tony Reardon for a review of the operating results. Tony?
Anthony J. Reardon: Thank you, Chris, and thank you, everybody, for joining us today. I'll begin by providing an overview of the quarter and the year end, including some of the market color, after which I'll turn the call over to Joe Bellino to go over our financial results in detail. For Ducommun, fiscal 2012 was clearly a year of accomplishment even in a challenging operating environment that included federal budget uncertainty and softness in some of our non-A&D markets, issues which continue right up through today. While the sequestration deadline has now come and gone, there still remains a lack of clarity as to how things will ultimately play out this year and next. I'll provide some more color on that in a moment. But first of all, we're very proud of Ducommun's achievement in 2012, and we feel confident about our ability to manage the business from a position of strength going forward. Among 2012's notable accomplishments, we fully integrated LaBarge, our largest acquisition ever. We exceeded our expectations in terms of post-merger synergies. We expanded margins, streamlined our operating -- our operations, posted strong cash flow, and paid down $25 million of debt. Even with the softness on our non-A&D markets, we ended the year with a backlog of $657 million, as much an indication of the strength of our broad capabilities as it is our customers who we serve. This level of book business, the highest in the company's history, provides a clear indication of our ability to grow heading into 2013. We achieved record revenue of $194 million in the fourth quarter, fueled by strong demand within our military and space business across both operations. We also posted earnings of $0.32 per diluted share in the quarter and $1.55 for the year. However, a onetime state income tax charge impacted the quarter by $0.21 per diluted share, so the year-over-year EPS comparison does not fully reflect our operating improvement, as Joe will review in a moment. Adjusted EBITDA was $85 million, or 11.4% of revenue, in 2012, up from 57.7 million or 9.9% of the revenue in 2011. We also generated $48 million in operating cash flow in 2012, as we focused on improving asset utilization, increasing inventory turns, reducing debt and delevering our balance sheet. We're in a much better position as we enter into 2013. Now let me provide some more in-depth color on the markets and platforms and programs. Starting with our non-A&D markets, we ended the year with weaker-than-expected results. Sales were down sequentially from Q3 within our industrial, medical and natural resources end markets due to both order timing as well as ongoing customer destocking. Several key clients, as we have discussed in the past, are working through inventory built up in 2012, and we see this process continuing through the first half of 2013. The backlog for this sector has come down considerably, reflecting destocking along with economic and seasonal factors. But we see this softness in demand as bottoming out in the months to come. We have strong customer relations and believe that the second half of 2013 will show improvement in these areas. We're also putting some -- a great deal of emphasis on growth as economic conditions continue to improve, and in the meantime, we remain focused on reducing cost and utilizing our expanded technologies to explore new business opportunities. In our military and space programs, fourth quarter revenue was the strongest of the year. Both Ducommun AeroStructures and Ducommun LaBarge Technologies saw sales peak during the quarter, driven by demand on such platforms as the Black Hawk, Apache, F-15 and our missile defense programs. Notably, we achieved record shipments on the Black Hawk last year, racking up $75 million in sales. In total, our military and space business represented approximately 51% of revenues in 2012, and we ended the year with a backlog of $370 million, up 4% year-over-year. We're obviously very disappointed in the lack of effort in Washington to resolve the budget issues, and we have worked tirelessly to do what we could do to make our voices heard. We do believe the fallout from sequestration will play out over the next several months, but it will be too early for us to discern any potential impact on our defense business going forward. That said, even as our backlog in this segment is at record levels, we believe the top line revenue will likely be flat to down year-over-year, at least through the first half of 2013. This reflects the timing of some programs booked late in the year and expected lower build rates in others with the war in Afghanistan winding down. We also envision softer demand in aftermarket spares in the current spending environment. It is too soon to say what the second half of the year may hold given the budget uncertainties and questions as to the timing and the passage of the continuing resolution for the remainder of the fiscal year. However, we've said in the past we have a very balanced, diversified array of products serving dozens of military programs, and Ducommun's components and systems are critical to the ongoing need for upgrades in advanced electronics content. So we will manage our way through the current fiscal challenges, and we look for additional opportunities to grow our defense and missile applications, both here and in abroad. Within our commercial aerospace business, the economic environment continues to be very favorable, resulting in robust sales and backlog driven by higher build rates, and we're working on increasing our content on large fixed-wing aircraft for both Boeing and Airbus. We also had a great year in terms of commercial helicopter sales with customers such as Bell and Carson. In general, we continue to view the commercial aerospace market very positively, and many new opportunities on the horizon for increased content on a variety of platforms. One area we're watching closely is the Boeing 787 Dreamliner and its battery issues, which have been detailed in the press. We are not as of yet experiencing any interruption in shipments and do not anticipate any long-term impact to the 787 program. We know that Boeing has proposed solutions to the FAA, which hopefully will allow the restart of the aircraft deliveries once all issues have been resolved. If this transition remains unresolved through May, we could possibly see a slowdown in the build rate for the Boeing shipments. We ended the year with a total commercial aerospace backlog of $230 million, up 19% year-over-year, and we expect to see continued steady growth in 2013. That said, there remains ongoing weakness within the regional jet and general aviation markets, which saw a substantial decline in 2012. Even as larger business jets have shown some stability of late, we have not seen a pickup in the overall end market, so we anticipate softness into 2013. Overall, we believe we are in a very good position to continue improvement in our operating results as built upon our accomplishments in 2012. With that, I will turn the call over to Joe Bellino for some detailed financial results. Joe?
Joseph P. Bellino: Thanks, Tony, and good day, everyone. Earlier this afternoon, after the market closed, we reported results for the fourth quarter and full year of 2012. For the fourth quarter, sales grew 3% to $194 million as compared to approximately $188 million in last year's fourth quarter. Net income grew to $3.4 million or $0.32 per diluted share compared with $2.8 million or $0.27 per diluted share. Last year's results excluded merger-related expenses and goodwill impairment charges. It's important to note that on our fourth quarter 2012 results, it included a onetime regulatory-driven income tax charge amounting to $2.2 million or $0.21 per diluted share, driving the effective tax rate for the quarter to 48%. This charge resulted from new legislation enacted in the fourth quarter 2012 in the State of California which impacted our ability to take advantage of state research and development tax credits that were already on our balance sheet. In effect, we had to write down this tax asset and thus, recorded a valuation allowance in the amount of the $0.21 per share. The fourth quarter tax rate in 2012 also did not include the benefits of a federal R&D tax credit, which the fourth quarter of 2011, and all previous quarters in our history since about the mid-'80s, reflected such R&D tax credits. As the new legislation was approved in January of 2013, we will record this tax benefit in the first quarter of 2013 in the amount of approximately $2 million, or $0.19 a share. In addition, the legislation provided for the R&D -- federal R&D tax credit to be applicable for the entire year of 2013, and so in addition to taking the $2 million tax credit in the first quarter, we expect to pay an average of 31% effective tax rate here in 2013. Looking at our fourth quarter results, we saw a number of gains in our year-over-year financial performance, including a 28% increase in adjusted EBITDA to nearly $23 million from $17.8 million in 2011. This was driven by higher gross margins and a favorable product mix. In addition, we experienced a significant improvement in working capital efficiency, primarily driven by improved inventory turns, and continued working -- effective working capital management in addition to deleveraging of our balance sheet. And while Ducommun's year-over-year numbers show significant strengthening, we thought it was meaningful, as we have in the last 3 quarters, to talk about sequential improvement when discussing our results. During the fourth quarter, Ducommun's sales, as I mentioned, was $194 million. That increased $10 million from the third quarter's $184 million. As we look at that growth, the sequential sales growth was driven by a combination of increased shipments in both military electronics and AeroStructure products. Operating margins held at 7.6%, roughly the same as the third quarter, and we continue to see sustainable synergies from the LaBarge acquisition. And in addition, we sequentially reduced our SG&A expenses to 10.7% compared to 11.6% in this year -- in 2012's third quarter. During our previous earnings calls, we have discussed our higher operating margins expectations, so we're pleased that they are being sustained at the current levels. In addition, during the fourth quarter, we generated $22.7 million in adjusted EBITDA, or 11.7% of revenues. That compares with $22 million in adjusted EBITDA, or 11.9% as a percentage of revenues, in the third quarter of 2012. Our backlogs grew to a record $657 million. That's 13% higher than when we acquired LaBarge in June of 2011. The backlog at the end of fiscal 2012 primarily reflects increased orders in the military space and commercial aerospace markets and are partially offset by lower bookings in some of our non-aerospace and defense markets. Now if we turn to results by the business segments. First, starting with Ducommun AeroStructures or DAS. DAS sales for the quarter grew sequentially to $82 million from $77 million in the third quarter 2012, as the segment benefited from increased sales of military helicopter products. We spoke earlier about the revenue from large commercial aircraft products. Those build rates continued at high levels in the fourth quarter just as they have been in the third quarter, and it parallels the build rates at the mainframe manufacturers. DAS's adjusted EBITDA for the fourth quarter were approximately $10 million or 12% of sales, 12.6% of sales, was about the same as the third quarter 2012, despite an $800,000 increase -- increases in charges for pension fund expenses, which we recorded here in the fourth quarter. During the quarter, we continued to see reductions in development costs for new programs as compared to the third quarter of 2012, an item we have been closely monitoring and discussing with you throughout the year. Moving to our Ducommun LaBarge Technologies segment, DLT. We posted sales for the quarter of nearly $112 million versus $107 million in the third quarter, with the increase driven primarily by higher electromechanical shipments such as military airborne radar systems and electronics for military helicopters, somewhat offset by softer non-aerospace and defense revenues. For the fourth quarter, DLT's adjusted EBITDA expanded to 16.2% (sic) [$16.2 million] or 14.5% of revenue, up from $15.2 million or 14.1% of revenue in the third quarter. We're really pleased to see, sequentially during the year, that both our adjusted EBITDA dollars and our percentage of revenues expanded in the DLT segment. We continue to benefit from a combination of a favorable product mix, solid management at our DLT operations and cost savings associated with our successful integration efforts. In terms of corporate G&A, those are the costs that aren't allocated by business segment, they ran about 2%, which is about the same as they have been in the third quarter, reflecting good strong cost controls in that area of management. Now turning to liquidity and capital resources. During the quarter, we prepaid an additional $15 million of our debt on top of $10 million in the third quarter. And in the process, we reduced our overall debt to $366 million, and our net debt was reduced to $319 million. Given our full year 2012 adjusted EBITDA of approximately $85 million, this equates to 3.7x net funded debt to EBITDA. As I mentioned before, for the total year, we paid down $25 million in debt, and in '13, we expect to pay down another $25 million to $30 million, with the goal of deleveraging the company to -- by 2015 to a funded debt-to-EBITDA levels ranging from about 2.75x to 3x. In this year's final quarter, we generated a strong $36 million in cash from operations, and for the entire year, we generated $48 million in cash from operations and $32 million in free cash flow. The $32 million in free cash flow equates to about $3 per diluted share. We are driving cash generation from a combination of internal initiatives resulting in higher EBITDA levels, increased inventory returns and overall more effective working capital management. We expect our $60 million revolving credit line to remain unused for the foreseeable future. In terms of capital expenditures, we expect to expand about $15 million in 2013, which is about the same as 2012. Our future capital expenditures are focused on 2 things: expanding of our manufacturing capabilities and supporting our new contract awards. So in closing, we're very pleased with the sequential quarterly improvement throughout the year in our key performance measures, most notably: growth in adjusted EBITDA, operating margins on a sustainable level and strong cash flow generation, as we are benefiting from an improved mix of products, better performance on new program costs and the synergies realized through our integration efforts. I'll now turn the program back over to Tony for his closing remarks. Tony?
Anthony J. Reardon: Thank you, Joe. Before opening the call to questions, I'd like to again highlight some of our many accomplishments in 2012. We posted sales of $747 million and ended the year with a record backlog of $657 million. At the same time, we managed cost and drove higher asset utilization, generated $48 million in operating cash flow and paid down debt by $25 million. Our adjusted EBITDA in 2012 was up sharply from 2011, and our people performed exceptionally well in a challenging and cloudy market environment. So where do we go from here? We will continue to aggressively pursue new business opportunities across all of our end markets in 2013. This means targeting increased content on a number of commercial aerospace platforms, maintaining our position on many critical military and missile defense applications and growing our business with the non-A&D end markets as they rebound in the second half of the year. We all have to deal with the challenging defense environment and the outcome of the 787 battery issue. But I wanted you to know that we're making great progress in integrating our sales teams and finding new opportunities in all markets. We've already seen a great response to our company's broader set of capabilities, exemplified by our recently announced win providing complex wiring harnesses to AgustaWestland for the AW139 multi-mission helicopter. We've supported AgustaWestland for years with structural components, and we're now pleased to provide them with sophisticated electronics content as well, a direct result of our efforts at cross-selling and increasing our penetration with new and existing customers alike. We're also making progress in increasing our aftermarket sales in business units that traditionally did not consider this part of their portfolio, in both the A&D and non-A&D end markets. We're just starting to expand the awareness, both internally and externally, of our broader advanced capabilities. We are finding opportunities that are available because of the expanded technology that we bring to the markets. The non-A&D markets are soft but offer opportunities to think differently about how we penetrate our customers with more expanded and cohesive product offerings. As always, we will remain disciplined in containing our cost and expanding margins going forward. We will also pay down more debt, as Joe mentioned, and delevering our balance sheet and lowering our interest expense along the way. We have truly accomplished a great deal in the past year, and we believe that the best is yet to come. It will take continued focus and execution, and we believe that Ducommun team is creating a company that has some of the best capabilities to serve the needs of growing number of leading companies in the aerospace, defense and industrial markets. We challenge ourselves every day to do what's right for our customers and our shareholders, and that commitment will carry us through the remainder of 2013. With that, Darcelle, I'd like to now open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mark Jordan with Noble Financial.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Question. First, relative to backlog. What percent of the $167 million would be expected to be delivered in 2013?
Anthony J. Reardon: The $167 million?
Joseph P. Bellino: Our overall backlog is $656 million.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Okay, $656 million? And what percent of that...
Joseph P. Bellino: Yes. Let me, perhaps, break it out this way based on history. We are -- going into the DAS segment, which -- that's a $320 million segment. We typically have 75% to 80% of that, that will ship in the next 12 months, and the balance over the next from month 13 through 18. On the Ducommun LaBarge Technologies, where our backlogs are $336 million, we typically have a book-to-bill ratio going in the year of about 55%. And so that says that we get those orders in quicker and fulfill them quicker, Mark, and it's much as you saw with the LaBarge portfolio when you were covering that.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Second question. You gave us guidance where the normalized tax rates should be for quarters 2 through 4 next year -- or this year. What would be the -- or normalized tax rate for the first quarter before you realize the $2 million worth of tax benefits?
Joseph P. Bellino: Here's what I would suggest you do. Whenever you come up with a pretax number, take the taxes at 31% and then deduct from that tax estimate $2 million, and you'll come up with the actual amount of taxes that one would expect to pay that quarter.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Okay. Any guidance relative to what you think the cash flow from operations should be in 2013? Do you think you should be in the same general area as you achieved in '12?
Joseph P. Bellino: Yes, Mark. We've talked -- in our third quarter call in November, we said that we generally generate cash flow from operations of $40 million to $45 million. We put in the K that we're probably going to spend $15 million, and that's why -- there's plus or minuses there, but that's why we feel confident about the $25 million to $30 million in free cash flow next year that we can use to pay down debt by same.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Okay. Just a final question, relative to your statement that you think that the de-inventorying process that's going on that's been on defense and aerospace product launch should end by the middle of the year. Can you add a little more color as to, specifically, the generic kind of product and industry segments that you see that turn in?
Anthony J. Reardon: Okay. So, Mark, I think one of the -- both industries that are impacted are in the natural resources and the industrial market. So on the industrial side, it's really been -- they've been cutting back on their inventories since just about midyear last year, and we see them continuing through that. We've been very close with the customers in that market. I think we've got a good handle on exactly what they're trying to do. And then, at the same time, we're trying to put ourselves in a position where we create more value added for them. On the natural resources market, it's more of a shifting from the natural gas market to the oil market. And as the drillings intensified in the oil market, some of the shift in that marketplace caused them to reevaluate their stocking industry. So I think that we're seeing, in both situations, an opportunity later on in the year to regain some potential. But I think one thing of important note is that we have not lost any business. It's primarily been just, for them, working through their working capital.
Operator: And your next question comes from the line of Ken Herbert with Imperial capital.
Kenneth Herbert - Imperial Capital, LLC, Research Division: Tony and Joe, I just wanted to follow up on that question regarding the natural resources, or essentially the non-A&D portion of the portfolio. I mean, it sounds like you expect inventory levels to stabilize mid-'13, which helps with the outlook. But are we in a situation, then, where we start to see some significant growth in these markets in the second half of '13? Or how would you think about the upside as that, hopefully, hits an inflection point midyear?
Anthony J. Reardon: I think what we're anticipating, Ken, would be is that we would see some increased orders, bookings in the last half, late half of the second quarter, and that would translate, probably, to some sequential increases in revenue into the late third quarter and fourth quarter.
Kenneth Herbert - Imperial Capital, LLC, Research Division: Okay, okay. That's helpful. As you look at the -- as you look at, Joe, the inventory in the quarter, you had a really nice improvement there. Was that related to a particular program or a few particular programs? Or can you provide more detail on that?
Joseph P. Bellino: It's several programs. It's -- part of it, our executive VP and COO, Joel Benkie, has -- when he came in after the end of June, that was one of the initiatives that he has worked with our teams to improve the level of inventories that we're carrying in our units, improving returns, addressing operational issues and -- in our scheduling. And we're really pleased that we've seen the benefits of that, and we believe the benefits are sustainable and there's more room to go, potentially, in terms of improving our working capital turnover, which was about -- our inventory's were about 3.3 times a year last -- in 2011. Now they're up to about 3.6. So we still have some overall room in progress to make.
Kenneth Herbert - Imperial Capital, LLC, Research Division: Okay. So you expect that to improve again in 2013, then?
Anthony J. Reardon: That's the goal. Yes, that is the goal, Ken. I mean, we're working through it, and it is across all programs. So you have ups and downs even as you increase the order size and you prepare to start shipments. So if you look at our business, traditionally, there's a buildup in inventory in the first half of the year and a depletion in the second half. So I'd anticipate the same type of results as we bring in raw material to support builds across all the product lines. But in general, it's a major effort for us to be driving down working capital. And that will continue, we hope, into 2012 -- or '13.
Kenneth Herbert - Imperial Capital, LLC, Research Division: Okay, great. And just finally, I mean, I know you've won some new business lately, and AgustaWestland and Bombardier has been impressive. I know, Joe, you've talked about the step-down in the startup cost. But with the business you're winning, as you look to 2013, does the operating income in the DAS segment -- do we step up like we stepped up from '11 to '12? Or how should I think about that?
Anthony J. Reardon: I would say that what we're doing on that side, Ken, is we are continuing to -- let me back up just a second. First of all, there are some minor investments in some of the new programs that we're making. So initially, you have the startup costs. We have not made any major investments in any of the new business programs that have come on. So we would not expect to see the investments that we saw in 2009 and '10, for example. Having said that, I would expect us to continue to be in a position where we start seeing some improved margins as we move along, and offset a little bit by some of the new programs. But we still have a number of new programs that are on the horizon with some other customers, and so we'll be bringing that in. I think that's why last year, when we talked about it, or maybe it was even 2 quarters ago that we talked about there's always an ongoing investment on that side of the business. But I think our emphasis here is to see continued improvement in the margins on that side of the business.
Operator: And your next question comes from the line of Mike Crawford with B. Riley & Co.
Michael Crawford - B. Riley & Co., LLC, Research Division: On the call, you mentioned $75 million in revenue on the Black Hawk platform in 2012. Did I hear that correctly?
Anthony J. Reardon: That's correct.
Michael Crawford - B. Riley & Co., LLC, Research Division: All right. And then, with the increasing content per unit I think that you're achieving now on the Black Hawk, is that something you think offsets any decline in production on that program in 2013? Do you expect that to go up or down at this point? Or is it too hard to tell?
Anthony J. Reardon: I think it's pretty hard to tell, Mike. I don't know what's going to happen with regards to the budget issues. As we've talked about in the past, at the end of the year, Sikorsky is scheduled to drop the build rate by about 10 aircraft in the last quarter -- 10 to 14 aircraft in the last quarter. That's already built into their forecast, and whether or not they offset that build rate year-over-year with foreign military sales, we would anticipate that quite a bit of that will be filled in. And then, so the real -- but as far as the content, it should be similar to what we have here now. Now there is some spares activities that's in that $75 million that may not duplicate because of the drawdown in the war in Afghanistan, and we'll just have to see how that plays out.
Michael Crawford - B. Riley & Co., LLC, Research Division: Okay, Tony. And then, on your end customer sales in 2012, led by Boeing down to Schlumberger at $30 million on the year. Is there -- do you expect the same top 6 customers in 2013? Or do you think someone like Airbus could get in there, or...
Anthony J. Reardon: I doubt that we will have any major shift in the top 5 or 6 customers. Our hope is always to have a shift, right? But I would think that you'll probably see the same customer base going into '14.
Joseph P. Bellino: We've been expanding our Airbus opportunities, though, even into the -- not only the A350 pipeline, but also the A320 family of products. And that and the Boeing sales comprise our large commercial aerospace sector, and Airbus now is probably $12 million to $15 million. We hope to expand that.
Michael Crawford - B. Riley & Co., LLC, Research Division: Okay, Joe. And then if I could just go back to maybe tie together again what you're hoping to achieve on inventory turns in 2013 as well, and considering what you may be ramping up on new programs. So I believe, in 2012, there was considerable tooling and learning curve ramp up on new programs that kind of hurt margins earlier in the year. And you've seen some nice improvement again in 2013. Is this where we should look for another -- get inventory turns up to closer to 4 and maybe some further margin improvement? Or it's just too hard to call depending on what the market..?
Joseph P. Bellino: There's a lot of dynamics going on. In our earnings release, on the full year results, we showed that in the DAS sector, our EBITDA margins went from 12.2% to 12.6% for the year. And certainly, we have targets to improve on that, at least some 20 to 40 basis points. And specifically, I've spoken in 2011, it was very costly for us, at about $8 million in development costs, and we targeted that we would reduce that to $4 million this year. And we actually did better than that. And then we said that we'd try to get that down to about a $2 million to $2.5 million run rate throughout the year and spread that out over the 4 quarters. Yes, on the inventory, that's some related to it, but I think overall process improvement, continuous improvement in all of the things that we do with kaizen events and the systems that we're addressing should allow us to -- generally speaking, when inventory turns improve, we generate more improvement in our gross margins, and that's what we're targeting for. What Tony said is correct, though. We generally slightly build inventories in the first half of the year and -- so that -- because our peak performance of operating days occurs between the second quarter and the third quarter, and then during the second half of the year, we generally are in a mode where we start liquidating inventory. So at the end of the year, with higher turns, we should -- we should be in a pretty good position from an inventory position, say, going into 2014. And that's the plan.
Anthony J. Reardon: And just to follow up with one addition to Joe. I think that as you look at the balance sheet, you can see that working capital clearly has been an emphasis in all areas, whether it's inventory receivables or payables. And we'll continue to work that extremely hard during the year. It's a major focus within the business, within all our business units within the business. And we'll continue to do that. So our overall goal would be to increase the turns. But as you grow a new business, the opportunities may not be there because of the bringing on inventory to support that. So there is always the offset with growth. So as we look through things, we'll see. But the objective, internally, is to continue to manage the working capital as effectively as we possibly can.
Michael Crawford - B. Riley & Co., LLC, Research Division: Okay. And then last question, with the net leverage coming down pretty quickly to around 3x, your senior secured debt is -- the first call is in July 2015 at 104.875, is that correct?
Anthony J. Reardon: That's correct.
Joseph P. Bellino: That's our $200 million senior unsecured note, yes. The first call is then.
Operator: [Operator Instructions] Your next question comes from the line of Bhakti Pavani with C.K. Cooper.
Bhakti Pavani - C. K. Cooper & Company, Inc., Research Division: Tony, Joe, just talking -- just wanted to talk about the revenue line. During the year 2012, during the first 3 quarters, the revenue was kind of a flat. And in Q4, it was a nice bump. Was it majorly related to the timing? And is that something that we should expect going into 2013?
Joseph P. Bellino: In our -- my comments, and then if we look at it trended, we have spoken about it in the third quarter that as a result of these F-18 orders for radar racks that we received at midyear, I'd said in the November call that we would expect a nice spike in those military electronics applications. And that's what we saw in the fourth quarter. And I also said, because we have a significant of backlogs in that area, it'll be a little more level-loaded or have even shipments throughout the quarters here in 2013. I think in addition, when we look at our sales -- when we look at our sales, we continue to see strengthening in our commercial aerospace structures, the large aircraft for Boeing and Airbus. We'll see, I think, sustainable levels at these build rates that they have achieved and they expect to achieve.
Anthony J. Reardon: And I think, Bhakti, when we look at it over the year and you get a bump up in the quarter, I think that, as Joe indicated, that was a direct result of late-order receipts. We had a nice pick up on order receipts in the fourth quarter. Unfortunately, some are more late compared to when we anticipated them. So they'll smooth out through the year. So when you look at the year, as you start taking a look at 2013 versus '14, you'll have some of the same things play out. And as we indicated, the non-A&D business is pretty soft and has been soft through the year. So those are things for consideration.
Bhakti Pavani - C. K. Cooper & Company, Inc., Research Division: Okay. You're talking about the gross margins. If you compare the third quarter and the fourth quarter, the margins in the fourth quarter were about 18.3% compared to 19.3% in the third quarter. Would you provide some color on the events that led to the decline in the margins?
Joseph P. Bellino: We got affected, as in my comments, by a $800,000 fourth quarter pension fund -- defined benefit pension fund expense. And if you look at the periodic cost, they've gone from $1 million to $2 million year-over-year as a result of changes in the discount rates used. In addition, Bhakti, traditionally, the fourth quarter cycle, there has either been a flat or a sequential decline in gross margins from the third quarter. So for example, the $800,000 charge affected our margins, our 18.3% margins, by about 40 basis points. So on an adjusted basis, it would be 18.7%. The rest of it, the decline from the third quarter 19.3% margins to 18.7% can be related to the holiday schedules, less operating days, more inventory -- manufacturing cost absorption, and those things, which is a normal cycle in the Ducommun financials.
Bhakti Pavani - C. K. Cooper & Company, Inc., Research Division: Okay. Also, in your prepared remarks, you mentioned that you intend to pay the similar amount of debt in 2013. Would you provide some color on the timing of the debt repayment? Is it going to be evenly distributed toward the quarters or more towards the second half?
Joseph P. Bellino: That's a good question, Bhakti. As you saw on our balance sheet, with the good working capital, we ended up the year with $47 million in cash. And even as of now, we've continued to be solid, and we probably have around $40 million in cash. So specifically to your question, we, at this point in time, plan to start making quarterly payments on that $30 million as opposed to the lump sums that we did in the third quarter and the fourth quarter of $10 million and $15 million, respectively. We think quarterly level payments in those things signaled a very positive sign to the debt holders and to the credit markets and, certainly, to the equity markets in turn.
Bhakti Pavani - C. K. Cooper & Company, Inc., Research Division: Right, that's helpful. Also, Tony mentioned that, still, it is not clear that -- how much the sequestration is going to affect the business. But have your strategies kind of changed to the new development that has happened in the market? And the question on the backlog. You have $657 million in backlog. Is there a probability that, that backlog could be cut short because of the sequestration cuts?
Anthony J. Reardon: Okay, those are good questions, Bhakti. With regards to strategy and any changes there, let me address the backlog first. I would expect that anything that happens to the backlog, I don't see any of our programs being cut or defunded. But what we would expect is that some of those programs are moved to the right. For example, the Black Hawk's our biggest programs. If there was any movement on that program, we would expect that the revenue base would move to the right, so you have lower revenues in 2013 or '14 than originally planned. Same thing on all the other programs that we participate on. So that's the overall plan. Now in terms of strategy, our strategy remains the same. I mean, what we're trying to do is put ourselves in a position to grow this business, even in a down market, and come up with opportunities to help the customers realize their goals of cutting their costs. And in the end, quite a few of us have been through a few of these cycles, most notably back in the early '90s, and quite frankly, we're paid to manage the business, and we'll manage through the cycle. And that's exactly what we have to do. But our focus is on trying to take advantage of the technology base that we have and continue to try to grow the business in a tough market. And that's the goal. So -- but rest assured, we will manage the business through the cycle.
Bhakti Pavani - C. K. Cooper & Company, Inc., Research Division: Okay. Just the last question. I'm not sure if you gave out the CapEx number, but could you please give out the CapEx number or your expectation on capital expenditures for 2013?
Anthony J. Reardon: I think it will be about the same, maybe slightly higher than where we were in '12. So we closed the year at about $15 million even, pretty close to that. And we should be at that level, if not maybe slightly higher.
Operator: And your next question comes from the line of J.B. Groh with D.A. Davidson.
J. B. Groh - D.A. Davidson & Co., Research Division: Tony, Joe, could you maybe -- you may have covered this, and I apologize if you did, talk about if you think there has been any pull forward, I guess, of -- I'm pleasantly surprised that military, some of the military programs were pretty strong. Do you get the sense that, that's just concurrent with what's going on, or do you see any sort of pull forward, early ordering, that kind of thing that -- sort of a precursor to lower levels of volume? Just curious.
Anthony J. Reardon: Yes -- no, we haven't really seen any pull forwards. I think what allowed us to increase the shipments was we did a lot of expediting in the fourth quarter in order to -- the customer probably had a late release, because they were late releasing to us. And so we did a lot of expediting in order to be able to pull shipments in for them so they could support their customer base. But I don't think there was any early ordering, if you will, in order to be able to spend going forward, because you've got to remember, at that time towards the last half of the year, you are already into FY '13 budget, right, on the CR side.
Joseph P. Bellino: J. B., just to add to that, we've spent a lot of time trending numbers, but just going back to our backlogs in the military and space defense technologies. In this first quarter, our backlogs were approximately $218 million, and we booked a bunch of orders in the second quarter of 2012, and our backlogs went up to $251 million. And they've sustained themselves there throughout the third and fourth quarter. I believe it's customer acceptance for our products, but it also includes those F-18 orders. And we go back on the same periods, we look at the first quarter, we shipped $54 million of that product in the first quarter of 2012, whereas in the third quarter, we shipped $61 million, and in the fourth quarter, $68 million. So it wasn't necessarily a pull forward of anything related to the fiscal cliff or anything like that. It's just more acceptance for our military electronics technologies products that we're pleased that, as we look today, our backlogs have held for the last 3 quarters at that $250 million-some level.
J. B. Groh - D.A. Davidson & Co., Research Division: Yes, okay. And then, Joe, just if you make sure I'm doing this math right. Your tax rate, pre-onetime item, was up 15% in the quarter?
Joseph P. Bellino: Yes. When you do the math, that's what it comes out to be. We are very aggressive at getting the state and local -- or state tax credits and IRS examinations successfully reviewed and closed out. And so that's why we're able to -- it's lumpy quarter-to-quarter, but that's why we're able to enjoy, in certain quarters, a benefit of our initiatives that we record during the period within which that activity occurs. But thinking at it, generally speaking, 31%, which bakes in the federal R&D tax credit for '13, is an appropriate for modeling, with the exception of taking the $2 million here in the first quarter of 2013 from the retro tax credit.
J. B. Groh - D.A. Davidson & Co., Research Division: So 31%, excluding the $2 million?
Joseph P. Bellino: Correct. Exactly. And then your second, third and fourth quarter, if you're modeling these, you would use -- we expect a 31% tax rate.
Operator: [Operator Instructions] And there are no further questions at this time. I'll now turn the call over to Mr. Tony Reardon for closing remarks.
Anthony J. Reardon: Thank you, Darcelle. And I'd like to thank everyone for joining us today and for your continued interest and support. And we look forward to talking with you in the next quarter. Thank you very much. Bye now.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.